Operator: Good day, and welcome to the Lemonade, Inc. Q3 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Yael Wissner-Levy. Please go ahead.
Yael Wissner-Levy: Good morning, and welcome to Lemonade's third quarter 2020 earnings call. My name is Yael Wissner-Levy and I am the VP Communications at Lemonade. Joining me today to discuss our results are Daniel Schreiber, CEO and Co-Founder; Shai Wininger, COO and Co-Founder; John Peters, Lemonade’s Chief Underwriting Officer; and Tim Bixby, our Chief Financial Officer. A letter to shareholders covering the company's third quarter 2020 financial results is available on our Investor Relations website, investor.lemonade.com. Before we begin, I would like to remind you that management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Form 10-Q for the three months ended June 30, 2020, and our other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today and we undertake no obligation to update them. We will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA and adjusted gross profit, which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our letter to shareholders. Our letter to shareholders also includes information about our key operating metrics, including a definition of each metric, why each is useful to investors and how we use each to monitor and manage our business. With that, I'll turn the call over to Daniel, who will begin with a few opening remarks. Daniel?
Daniel Schreiber: Good morning. I'm happy to report that our third quarter returned strong results along all key performance indicators. Despite concern that the pandemic might disrupt migratory patterns and with them our seasonably strongest quarter, we in fact, saw robust growth and sustained improvements across our unit economics. Year-on-year, our in force premium or IFP doubled. Our adjusted gross profit jumped 138%, while our losses per dollar of gross earned premium halved. Tim will elaborate on all our numbers shortly. Perhaps the most noteworthy thing that happened this quarter though is something that didn't happen. The dog that didn't bark to borrow a phrase from Sherlock Holmes, in Q3, we had a major non-event, which is easily missed and which I'd like to highlight. Wildfire season in the Western United States started early this year and the fires in Q3 alone made this year California's most destructive fire season ever. Hurricane season was equally ferocious. The National Hurricane Center named storms alphabetically, starting with A, but by mid-September, they had literally run out of letters and had to start over this time with the Greek alphabet. That has never happened so early. These unprecedented disasters hit the most populous states in the union, which are also home to the majority of Lemonade’s customers. Against this devastating backdrop, we see the significance of the dog that didn't bark. Our loss ratio for Q3 remained perfectly healthy. In fact, at 72%, it was more than 7% lower than the corresponding quarter last year. As a reminder, below 75% loss ratio, our reinsurers make money. A 25% take is safe even without reliance on reinsurance and this typically leftover money will get back. If our annual gross loss ratio occasionally topped 75%, that would also be okay. And our economics would be largely unchanged because our reinsurers would finance most of those excess losses. But the fact that our loss ratio didn't spike even as catastrophes did is a non-event of note. To put it into perspective, the industry is forecasting that home insurance companies will put the bill for about $10 billion of catastrophic or cat losses for Q3. If our underwriting was nearly industry average, based on our market share, we could have expected cat losses of about $17 million and a gross loss ratio of about 100%. Our actual cat losses though were some 75% lower than our pro rata would have predicted. And our loss ratio declined year-on-year. This I believe is testament to our cautious approach to underwriting in the wildfire zones and hurricane-prone parts of the country. And it shows that we're not growing by loading up on tail risks. Speaking of tails and dogs and barking. The second thing of note this quarter was our launch of pet health insurance. It's our first foray into an insurance sector beyond homeowners. And it's off to a roaring start. About 40% of pet policies were sold to first-time Lemonade customers. These newcomers alone delivered about nine times more IFP than we generated from newcomer to Lemonade in the three months following our initial launch four years ago. And we did that at a rate of marketing efficiency that it took us three years to achieve with our renters product. Not only has pet insurance provided an additional on-ramp to Lemonade, but about 5% of these newcomers added a renters or homeowners policy within their first quarter with us. And as compelling as the metrics look for newcomers, they are better yet for existing customers who comprise the majority of our pet insurance buyers. Each of these added an average of $450 to their premium and almost four-fold jump in their median premiums without us incurring any costs at all, to acquire the incremental premiums. Pets maybe our first step beyond homeowners insurance but as you will soon hear, it won't be our last. Our experience three months post-launch affirms our strategy of acquiring customers young when the needs are modest and ensuring they get a fabulous experience with Lemonade so that as they progress through predictable life cycle events, their insurance needs grow often by orders of magnitude and they do that growing with us. This significant up-sell and cross-sell phenomena continues to gain steam within our homeowners business too. About 12% of our condo policyholders in Q3 started as renters at Lemonade and then graduated to become homeowners with Lemonade. In fact, while our overall IFP doubled year-on-year in the third quarter, our IFP from customers graduating from renting to owning grew by over 300% during the same three months, that's significant. The premiums of these graduates grew six-folds on average from $150 before their graduation to $900 after, again, with no incremental cost to acquire the incremental premium. We believe these trends both within homeowners and between product lines have tremendous runway. We hope to give them a further boost by adding more products. And on that note, let me hand over to Shai to update you on what's coming next. Shai?
Shai Wininger: Thank you, Daniel. In the insurance industry, there is an invisible boundary between P&C insurance and life insurance. The regulatory frameworks for the two are quite distinct and insurance companies tend to settle into one domain or the other. We understand their considerations, but we strive to prioritize product launches based on customer needs rather than regulatory frameworks. Which is why in recent months, we established the Lemonade Life Insurance Agency and why we plan to bring the Lemonade experience to the term life market in the coming months. Beyond giving you a heads up about the forthcoming product launch, I'd like to use this announcement to highlight how we think about products and initiatives, and their associated risks and returns. It is noteworthy that we're placing a bet on term life even though we're not certain, it will be a winner. Teams we respect at other tech-enabled insurance companies have struggled to make the economics of digital acquisition work with term life policies. And we offer no guarantees that we can do better. So why are we launching term life? Because there are important differences between us and them, differences that make this a smart bet, despite the uncertainty. For one, the downside is modest because we'll be leveraging technologies and systems already in place. We will not be underwriting those policies ourselves and we'll have a captive audience of 1 million customers to whom we can market for free. This is something we're excited about. Our technology platform, user experience and incredible customer service can be leveraged for products we built from scratch, as well as for ones that others on the right. For another, the same me to we events that trigger graduation from renting to home ownership are often triggers for buying one's first life insurance policy to. The average age for buying a first home in the U.S. is about 33, which is also about the average age when college grads have their first child. And it’s also about the average age of Lemonade customers. Finally, while the cost of the spread is not high, the potential price is big. According to researchandmarkets.com, the global term life insurance market stands at about $800 billion this year and is expected to grow more than 10% compounded annually to over $2 trillion by the end of the decade. As we wrote in our S1 founders’ letter, we prefer to make decisions under conditions of uncertainty, and to abandon bad bets, as soon as the data reveal them to be so. That translates into greater volatility, but also to better aggregate returns. It’s a trade we are comfortable making. And with that, let me hand over to Tim Bixby for a bit more detail around our financial results and outlook, Tim?
Tim Bixby: Great. Thanks Shai. I'll give a bit more color on our Q3 results, as well as expectations for the fourth quarter and the full year 2020. Then we'll take your questions. We had another strong quarter of growth driven by additions of new customers, as well as a continued increase in premium per customer. In-force premium grew 99% in Q3 as compared to Q3 in the prior year to $188.9 million. This metric captures the full scope of our top line growth before the impact of reinsurance and regardless of the timing of customer acquisition during the quarter. Premium per customer increased 19% versus the prior year to $201. This increase was driven by a combination of increased value of policies over time, as well as mix shift toward higher value homeowner and now pet policies. Roughly two-thirds of the growth in premium per customer in Q3 was driven by this product mix shift and the remaining one-third from increased coverage levels. Gross written premium in Q3 increased a 104% as compared to the prior year to $42.9 million in line with the increase in in-force premium. Our gross loss ratio is 72% for Q3, despite significant CAT activity in the quarter, representing an improvement from 78% in the third quarter of 2019. We continue to expect our gross loss ratio will vary over time within a target range for annual loss ratios, but below 75% with occasional short-term results slightly outside this range, it's notable that the average gross loss ratio in the P&C sector overall in recent years is approximately 82%, and for the top 20 players about 72%, even in a tougher CAT quarter, our gross loss ratio remained highly competitive. Operating expenses, excluding the loss and loss adjustment expense increased just 11% in Q3 as compared to the prior year with sales and marketing expense again, actually lower by nearly 25% as compared to the prior year due to continued improvement in our marketing efficiency. Also to note, certain G&A any expenses increased as expected, related primarily to public company expenses like corporate insurance and professional services. We also continued to hire new Lemonade team members in all areas of the company, in supportive customer and premium growth and new product launches and thus saw increases in each of the other expense lines. Global headcount roughly doubled versus the prior year to 459 people with a greater growth rate in customer facing departments and product development teams. Net loss was $30.9 million in Q3, slightly better than the $31.1 billion loss we reported in the third quarter of 2019 with a notably larger customer in in-force premium base. While adjusted EBITDA loss was $27.6 million in Q3 as compared to $30.4 million in the third quarter of 2019, our cash, cash equivalents and total investments balance ended the quarter at $597.4 million, reflecting primarily the net proceeds from our July public offering of approximately $335 million, partially offset by the use of cash for operations of $71 million since year end of 2019. With these goals and metrics in mind, I'll now outline our specific financial expectations for the fourth quarter and the full year of 2020. For the fourth quarter of 2020, we expect in-force premium at December 31 of between $200 million and $205 million. Gross earned premium of $46 million to $48 million, GAAP revenue of between $18 million and $19 million and adjusted EBITDA loss of between $34 million and $32 million. We expect stock-based compensation expense of approximately $3 million and capital expenditures approximately $1 million. For the full year of 2020, we expect again in-force premium at December 31 of between $200 million and $205 million, gross earned premium between $154 million and $157 million, GAAP revenue of $91 million to $93 million and adjusted EBITDA loss between $103 million and $100 million. We also expect stock-based compensation expense for the full year of approximately $11 million and capital expenditures of approximately $4 million. And as a reminder, please note the GAAP accounting rules are such that ceded premiums are excluded from GAAP revenue. As a result, as we've noted of this change in our reinsurance structure that was effective on July 1 to a significant proportional reinsurance structure, our year-over-year revenue and gross margin comparisons are not comparable. Accordingly, we published in-force premium and gross earned premium as metrics that we believe are useful to analysts and investors, because each captures the overall growth trajectory of the business before the impact of reinsurance. Thanks so much for joining our second quarterly review, as a public company, we do appreciate your interest and support. With that, I would now like to turn the call back over to the operator, who can perhaps rejoin the call with Q&A instructions, and we'll be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And today's first question comes from Ismael Dabo with Morgan Stanley. Please go ahead.
Mike Phillips: Hey. Thanks. Good morning everybody, it’s Mike Phillips actually. Appreciate the time and congrats on a nice quarter. I guess I'm going to start off with the top line and customers. Last quarter you have guided to it could be a tough quarter this quarter, because of seasonality, people not moving as much as they typically would. And so can we drill into the new customers, the growth there, not the in-force premium, but actual new customers. Where did you see that come – did you see the headwind you expected or it offset by something else or was that headwind did not show? So kind of just drilling down into where the new customers came from, I guess,
Tim Bixby: Hey, Mike. Sure, so the customer growth came in remarkably as expected, but as expected in a more normal year, we have been cautious in Q2, heading into Q3 about what some of the cyclical changes might be this year. And the reality is we just really haven't seen them. We're seeing seasonal patterns repeat a significant part of the reason, I think that the numbers came in quite strong this quarter is because of the things we had a little more concerned about early in the year are not happening to a great extent. So we're continuing to add customers at a very healthy pace. Important to note that we do focus even more so than customers on dollars, so premium growth is paramount. So sometimes the ebb and flow of the customer count can be slightly off cycle with that, but we're really happy with both the customer count growth and the premium growth. And I think you'll see sort of in the guidance and then from the comments we make today that we're really seeing the year come together from a seasonality standpoint, very much in line with what we've seen in prior years.
Mike Phillips: Okay. Thanks, Tim. You talked about the CAT numbers. Your net loss ratio was actually really strong, obviously. How much of the 6% CAT number that you talked about were in the growth – on the growth side? How much of that was – what was your CAT net loss ratio? And then if you could talk about what was underlying a really strong, I guess we back out something from the CAT, I don't know how much the 6% was on that basis, but now what was behind the really strong underwriting result on that basis?
Tim Bixby: Yes, I would think – I don't have a disclosable number today. We'll have the statutory filings out shortly for specific CAT numbers. But generally, I can’t say that we saw roughly 10 points of impact from CAT in the quarter. A normal quarter does have some CAT impacts, so not all of that was incremental from the more significant activity, probably something like half – roughly half of that impact I think would be out of the norm. One thing to know when you're looking at the net loss ratio versus the gross loss ratio, there are some nuances because of our reinsurance transition that happened on July 1. And so we'll continue to kind of share that overall gross loss ratio that 72% number is really the apples-to-apples comparison. And so if you back out the CAT and you think about where we were last quarter at 67%, pretty much right in line. And also even with the CAT activity in line with where we were in Q1. So we're really pleased with how our underwriting enabled us to really weather, what I think was a pretty significant test this quarter and bringing the loss ratio both on the growth and net basis that I think shows really strong performance.
Mike Phillips: Okay. Quickly, just a quick follow-up there. When you say 10%, Tim did you mean the net 63 would have been 53 without the CAT?
Tim Bixby: I'm focused on the growth, but yes, sort of think of it on a gross basis.
Mike Phillips: Okay. And then, I guess last one for now, I'll circle back. On your comments on the sales and marketing spend and Tim, you mentioned how there is some efficiencies there that you're getting into the dollar amounts were lower. Was there any proactive reasons to lower because of what you thought might happen in the quarter with people not moving? So did you pull back any proactively on sales and marketing because of concerns in the quarter?
Tim Bixby: So we don't really pull back and anticipate some things, we're not sure whether they're going to happen. We're managing this in real time. And so, when we see the ability to spend, we spend that I think, when you see the quarter in aggregate, it's hard to see that sort of the ebbs and flows of how we manage the growth spending on a day-to-day basis. But we saw again, really consistent patterns with what we've seen in prior quarters, or sorry, prior years. And it's really a kind of an arc over the course of Q3. Q4 is a seasonally tighter quarter, generally, that's what we've seen for a few years now, that's I think reflected in the guidance. But I think just doing a year-on-year comparison on what we're spending for marketing and what we're bringing in, it's pretty – I was going to say extraordinary, but I’m the CFO, so it’s inappropriate to say that. But still a doubling of our efficiency more than doubling of efficiency year-on-year is just been a really significant improvement over the past four quarters.
Mike Phillips: Okay. Thanks. Last one real quick, I guess and then I'll jump off. In your comments on the lifetime value, you talked about the IFP and how that grew 300% – over 300% in the quarter compared to last quarter from the graduation to homeowners. In your comments on the condo, it went to 12%, the 12% of condos have graduated from renters. So I guess just want to specify on the wording here in the lifetime piece. The 300%, is that graduating from two condos, or can you make a distinction between condos versus homeowners and their 300%, or is that true condo versus homeowners, which one is that? You classified the 12% in the condo, that’s why I’m asking.
Tim Bixby: Yes. Two very different metrics, but on the same topic. So the condo percentage, is condos alone at 12%. And if you think back – was something that we've talked about for about a year, that's a nice steady upward March, the 300% we looked at all of our homeowner graduation. So whether condo or home combined, and we saw an uptick, a graduation rate three times higher than a year ago, so good progress, but those are two different metrics.
Mike Phillips: Yes, sure. Okay, thanks Tim. Appreciate it. Congrats guys.
Tim Bixby: Yes. Thank you.
Operator: And our next question today comes from Jason Helfstein with Oppenheimer & Company. Please go ahead.
Jason Helfstein: Thanks. Kind of two questions. At first maybe just broadly, why life insurance versus car insurance, because I think just that's a question people have, do you think about vertical expansion. And then the second kind of with a launch of the life, how do you think that'll impact reported marketing efficiency? And to the extent that you lean into that, is there a way to – would you be able to kind of separate out the impact over the next 18 months, so we can understand kind of the efficiency and the legacy business versus the investments, the new business et cetera? Thanks.
Daniel Schreiber: Jason, good morning, Daniel here. Let me take the first part of your question. It's not life instead of CAR, it's – as we've spoken about at different times aspirations are pretty expensive here. We're looking to build really one of the hubris behind what we're doing, we want to build an iconic insurance company for the 21st century, and then it's going to be customer centric and cater in the fullness of time to all of our customers’ needs and grow with them as those needs grow in time. Three months ago, we launched life, we've announced today that we didn't – sorry, we launched pet, we've announced today that within three months we will launch life. And so you see that we're at a fairly steady clip launching new products. And you can assume that before we're done, we will launch all the products that our customer needs. So it's really just a question of sequencing rather than the question of why one rather than the other. As Shai mentioned, specifically around life, there is a goodness of fit to other things that we talk about. So Tim just gave some numbers to Mike about graduation. And we do see that this kind of meets me to we lifecycle events, when people go from being individuals to being families to having responsibilities that often coincides with buying a home with having a kid with establishing a family, those things are largely events that happen in close proximity once the other. And you do see that the buying habits of life and home overlap a great deal. So we do feel like there is a goodness of fit the right stage in life, but as I say, I go back to my earlier comments, this isn't one product instead of the other, it's just one before the other. Tim?
Tim Bixby: Yes. And maybe from a marketing efficiency or unit economic standpoint, at this point, pretty much you shouldn't expect any dramatic shifts in how we think about what we invest in marketing versus the dollars we acquire. We'll think of the customers holistically. And I think we'll probably see something that looks like pet to some extent, where we'll have customers who buy life only as their first product, and then hopefully branch into other Lemonade products and vice versa. We're nearing 1 million customers before too long. And we anticipate that some percentage of those existing customers will also have life insurance needs. And so it's common when they launch new products that our internal key performance metrics and indicators start at a certain place and then tend to improve over time, it's kind of the nature of anything that's new. I would expect that to be the same for us, but we have in the past optimized reasonably quickly, pet actually got to a place quite a bit more quickly than our renters launched several years ago and so this is something we're pretty good at. I wouldn't expect dramatically different unit economics due to the life launch.
Jason Helfstein: Thank you.
Operator: And our next question today comes from Ron Josey at JMP Securities. Please go ahead.
Ron Josey: Great. Thanks for taking the question. Daniel, I wanted to drill down a little bit more on life insurance and in the letter you talked about launching based on customer needs versus the regulatory framework. So maybe a follow-up to Jason's questions in terms of sequencing. Just talk to us about what your research is telling you with the launch of life, why life comes first? And then what your research is telling you in terms of what your users are asking for? And then you mentioned a few times and Shai you mentioned about abandoning bad bets based on data. Just talk to us about KPIs and timelines you set to make these decisions as we do see newer verticals launch, what seems to be a cadence of every quarter now? Thank you.
Daniel Schreiber: Ron, hi, thanks for that. Yes, we did elaborate on this a little bit in the shareholders letter as well, but we – I think the subhead of the paragraph about life talks about that sometimes launching a product is the best market research. And what we mean by that is that there is data out there about term life insurance, I gave some indication about why we think the agent stage triggers that result in the purchase of home insurance could also be good for life insurance. But honestly, we're approaching life insurance a little bit more cautiously. The data out there is mixed, the market is clearly vast hundreds of billions of dollars going to trillions of dollars. And overwhelming majority of our homeowners customers do pay somebody term life insurance and we just assume have them pay it to us and those are very sizable premiums. So the price is definitely worth going for. And as Tim mentioned, we'll have, I think by the time we launched this 1 million customers that we can market to internally, which also speaks to Jason's question about cost of acquisition and some of those other dynamics and the whole symbiotic stories is coming together nicely. That said we are being a little bit cautious on life simply because we've seen others struggling this arena and fast it's new and we like placing these kinds of bets, but there are real caps, glass ceilings on how much you can trust or glean from market research. So we do speak to customers, we get inbound inquiries from customers, we read all the research that's available. And yet my honest answer to you is that we really don't know if this is going to play out, and what kind of speed it would play out, what kind of adoption and we're cautious about declaring victory before the right to do so. The one other thing Ron just kind to fest at one more piece. One of the really nice things about this launch and some of the other things that we're doing as well is that these are bets, we do regard them as bets rather than certainties, but they're not that the company moves. The risks that we take are actually very modest, because we are leveraging everything that we've already done, all of the technologies, all of the branding, all of the user experience, all of the support staff, the licenses and to the install base. So it's really a question of getting leverage of using all the things that we've already paid for, for more and more and more products. Life is very much been launched in that way, it's an exciting thing for us to be able to start to use everything that we built for renters and homeowners and just lay on top of it and new products. So it is a bet, but it is a modest anti with tremendous upside. We like those kinds of things, the expected return, the expected value back from the bet is pretty compelling.
Ron Josey: That's great. Thank you, Daniel.
Daniel Schreiber: Thanks, Ron.
Operator: And our next question today comes from Ross Sandler of Barclays. Please go ahead.
Ross Sandler: Hey guys. Just two questions. So it looks like we're generating the highest gross profit per customer yet in company history, so congrats on that. Can you just talk about how retention and CAC trended versus your 3Q plan? And if LTV to CAC continues to improve, should we expect you to lean back in and crank up the marketing a bit more in the future? And then the second question is, as a California resident fire season was pretty rough out here. Can you just remind us how the partnership with Palomar works? Are you guys underwriting renters and homeowners in California, or are they doing it on your behalf? Just remind us how the California arrangement works. Thank you.
Tim Bixby: Sure. So California is essentially all us for this purpose. We do have earthquake coverage, it's available to Palomar, but the vast majority of the coverage and the things we've been talking about today, that's all Lemonade. So we're exposed, but clearly by the really strong performance in loss ratio, we exposed a very limited level. Your other questions, I think maybe hit retention first. So retention is stable and modestly up, is how I would term it. So if you look at the year one and year two retention levels that we've disclosed very specifically since we've gone public, those are steady and stable. Dollar retention and internal sort of longer-term numbers that we can see internally is starting to look somewhat more positive that takes a while to filter through the system. But I think the headline there is nothing deteriorating in a really kind of a year of uncertainty. So I think that's definitely part of our confidence in how we're spending and how we're guiding and how we're heading into the fourth quarter and into next year. On your marketing question, I think the way you put it is exactly right. Leaning in is exactly how we think about it. So if you look over the past two quarters or really three quarters, if you include pre-public, where we've seen cost savings or EBITDA improvement, we've tended to reinvest with the exception of kind of April where things were really uncertain, that's been the mode of operation I expect we'll continue that in Q4, it's a little more seasonally light. But regardless of that, I think we'll continue to lean in. We're not giving guidance for next year at this point, but I think the best guide for our future approach is what we've done in the past. And for many quarters in a row now we've explored more investment, more investment meaning when we have more confidence, we spend a little more and as long as LTV to CAC ratios are steady or showing some improvement, we'll continue to do that.
Operator: Thank you. Our next question today comes from Matt Carletti with JMP. Please go ahead.
Matt Carletti: Hey, thanks. Good morning. Just hoping to touch on pet insurance quickly, clearly off to a good start, just hoping you could comment a little bit on kind of lessons learned. I mean, it seems like things are going well. What has surprised you? And then kind of, how can you take those lessons and apply it to whether it be going into life insurance or whatever else might be ahead of us?
Daniel Schreiber: Hi, Matt, it’s Daniel here. It's been three months. And the first three months have been a very positive surprise. And one of the things that, you know, with insurance, you can't really beta test products. We were just talking about this in the context of life. Sometimes you do the market research live and you learn the lessons on post-launch rather than pre-launch. So we did try to do our diligence beforehand, but one never really knows until you go ahead and encounter the customer. And we were very excited about the pet insurance product. It is unlike some of the other categories you have, home and rent and life for that matter where penetration is very high. Pet is a woefully underpenetrated market, something like 99% of customers in – of pet parents in the U.S. don't have pet insurance. And it is fast growing so it’s small but fast growing. And it's a real opportunity for us to enter a space that is really kind of vacant, some kind of blue ocean and going that and rethink from scratch what pet insurance should look like, what it should cover, what the experience would be, what the response time should be. And to bring some of our thinking of Lemonade to everything from the ground up, rewrite the policy from scratch, the coverage, do it all in-house work with regulators, build the technology, et cetera. So it was a source of great pride. I think it's one of our finer moments when we’re launching this product, we used everything that we've learned in the proceeding five years and poured it into the design and the user experience and the customer support and the underwriting, everything really came together beautifully. The nice thing part is not only that, all that seems to be rewarded. We're seeing just a lot of interest, fast sales, tremendous marketing efficiencies, beyond our expectations. Not that we knew exactly what to expect, but at least internally, we have a consensus that this is not what we expected. It is a lot better, but the really nice thing is to see the life cycle story come together just like graduation, to be able to see that 40% of the people buying this treated – pet insurance as a new on-ramp. These are people who weren't Lemonade customers. And now we have an entirely new set of tools to acquire a new set of customers who otherwise we wouldn't have got to. And that once we got to those customers through an avenue that was unavailable task just a quarter ago, 5% of them within a matter of weeks added a homeowners or renters policy. So we’re really seeing that the force of the cross-sell of the different products, being able to serve as new points of entry, both to the company, and then one to the other. And the dynamics for existing customers that actually comprised the majority of our pets policy owners but even more dramatic so we’re seeing them increase their premium – the median increase in premium was 400% or just shy of 400%. So all-in-all, we feel very, very good about the way pets played out and we just hope that it both continues the growth trajectory that it's on and that we can replicate it with products to come.
Matt Carletti: Great. If I could just a quick clarification just with the life insurance launch, just want to confirm, when you say, you will be underwriting it, that you're just purely acting in an agency capability, won't be retaining any risk but obviously, controlling customer experience and marketing and all those sorts of things?
Daniel Schreiber: That’s exactly right. The user experience will be very much a Lemonade experience. But the underlying policy will be on somebody else's paper. To the consumer, this will be largely a transparent issue. But yes, it's exactly what you just described.
Matt Carletti: Great. Thanks for the answers and best of luck.
Daniel Schreiber: Thank you.
Operator: And our next question today comes from Heath Terry of Goldman Sachs. Please go ahead.
Heath Terry: Great. Thank you. Daniel, I'd like to dig a little bit further into graduation. To the extent that the urban exodus wasn’t a negative for the renters business, could it have been a positive for your homeowners business? Did you see any signs of Lemonade renters, customers in cities moving out to become Lemonade homeowners customers?
Daniel Schreiber: Hey, Heath. Good morning. I don’t have any data to support or debunk that thesis. So I really can’t – I don’t know, Tim, step in this, if he knew something that I don’t. But I couldn’t confirm or deny that. I just don’t know.
Heath Terry: Got you. And then on the life insurance side of things, just to the extent that you’re – that you’ve gone in this direction of opening up your customer base to other insurers, is this something that you could see yourself quickly doing on a commissioned agency basis in other areas of P&C categories, maintaining a Lemonade – kind of the Lemonade experience, but you’re using this type of model to just very quickly add auto and all of those to the categories in a much faster – at a much faster pace than maybe you might have otherwise?
Daniel Schreiber: Thanks, Heath. And let me share with you, how we think about these things. This is actually not our first time doing this. Somebody mentioned on the call earlier about Palomar. So for example, our earthquake insurance in California and elsewhere is not written on our paper, albeit through our platform, through our technology, and for consumer, we give a very seamless and integrated experience. But we have already been doing that. So in some categories, we feel there is not a great fit between the kinds of risk that we want to retain or the kind of user experience that those involve. So for example, term life insurance is a product with very thankfully, very rare claims experience. The claims happened and sell them. And when they happen, it’s after the passing of the policyholder. So unlike the high frequency claims or pet and home and renters, this is one with low frequency, very low need to interact and to control the claims experience. There’s also very little doubt and litigation about the claims experience because life policies are resolved with the death certificates. So there is very little room for arguments there. So perhaps that made a lot of sense to partner with somebody where the underlying risk was born by them, but we control all of the user experience. We can offer the kind of level of experience that we want. I’m not sure that that will apply across the board. And it’s really – the answer to your question about car insurance, other insurance has already been answered by asking a question, how can we give the consumer the best experience that we want them to have and that they come to associate with a Lemonade brand. And oftentimes, beyond sizable, the case with pet insurance is we do it all ourselves. The existing infrastructure or the dependencies on incumbents and incumbents experience to an extent that we don’t feel comfortable with. And that’s really the prism through which or the litmus test through which we decide what to do ourselves and when to Palomar.
Heath Terry: Great. Thanks Daniel.
Operator: And our next question today comes from Mike Zaremski with Credit Suisse. Please go ahead.
Mike Zaremski: Hi, good morning. I’m curious if there were any changes in the ways your new customers has got nice policy growth better than expected I think? Any changes in the ways your customers were acquired? I think there is some third-parties that showed that the app downloads of Lemonade might have been down a little bit and maybe if you can tell me if that’s incorrect, and maybe you saw a migration to the desktop?
Daniel Schreiber: Yes. So kind of a two-part question. So the short answer is, no. No real change. Obviously, there is an immense amount of change, sort of by hour or by day. But if you look at it over the course of the month or the quarter, a consistent theme of optimizing key channels and finding the best return were pretty agnostic in terms of geography. So it’s less about what states or what regions or even what countries for that matter. We kind of go where the return is, and that was substantially unchanged. On the app download question, it’s a great question, because it can indicate something that’s actually not happening. And so the way that our system works, from time-to-time it changes in terms of what proportion of customers choose to download the app or need to download the app. And that actually has shifted around reasonably significantly over the past few quarters as we made some different changes. So it does not really indicate in a linear way the growth. I think you saw that this quarter, but it actually appeared that downloads were somewhat less, but this is an intentional move that we made to kind of optimize how the customer experience works. And so it’s an interesting indicator, but it’s not a great measure of the overall growth trajectory we’re seeing. And our guidance really is the best view I think of what we expect that to be over the coming quarter. And you may see that the download number shift around a bit. But those are the intentional moves.
Mike Zaremski: Okay, interesting. I guess, just lastly. Can you just tell us who is – will be underwriting the life insurance policies?
Daniel Schreiber: That’s not something that's disclosed at this point.
Mike Zaremski: Okay. Thank you.
Operator: And our next question today comes from Arvind Ramnani with Piper Sandler. Please go ahead.
Arvind Ramnani: Thanks. Congrats on adding this life insurance. You’ve certainly made it clear that you’re going to chase a much broader range of products. How should we think about timeline for the auto insurance policy? Is it more of a near-term or a longer term priority?
Tim Bixby: So we don’t – our practice is not to disclose timing until we disclose timing. And so I think you saw that practice with the launch of pet. We’ll let you know that folks know today our plans, upcoming plans for Europe and for life, auto is clearly a market that’s important to our customers and critical to the long-term vision, and we want to provide everything that our customers need. And unlike other types of coverage, everybody who drives has auto insurance. And so it’s kind of a known quantity in terms of the potential market for us. So while we’re not communicating specific timeline today, I think it’s fair to say that it’s as important to us as we believe it is to our customers.
Arvind Ramnani: Great, great. And something that the – kind of the life insurance policy you’re kind of, I think more sort of as an agent in that. Can you just maybe talk about some of the rationale for that? And as you look to add additional products, what goes into figuring out agency versus kind of owning the policy itself?
Tim Bixby: Yes, so it’s – and maybe Daniel will jump in on this one, too, but it’s a combination of things. So one is speed, products take time to build. Some products take longer than others, but they all take time to build, particularly at the level of customer engagement and customer delight that is our standard. And so we factor that in. We have an overall book of business that we’re trying to build and build in a smart way with a solid and principal loss ratio. So that is something we want to be comfortable with before we enter. And then we look at the potential partner structure. And if we believe there is a way to get quality products to our customers at a level that we think is A+ then we’ll consider working as partners. There is a time factor also from a regulatory standpoint to launch something that’s underwritten by us as opposed to the partners. So obviously, it’s much quicker to leverage a partner in that instance. So those are really the factors that we’ve thought about in the life calculus. Over time, our platform is built so that we can adjust. But at the moment, this is really a good mix for us. So Palomar was really our test case at a very modest level. Life will be, we hope and plan will be more significant. And then we’ll think in a very pretty similar way as we launch additional products.
Daniel Schreiber: The only thing I would add…
Arvind Ramnani: Go ahead.
Daniel Schreiber: Just to add that particularly with life, there is one other consideration that you should be aware of which is that insurance company. We are in two insurance companies in Europe and in the United States and they are P&C insurance carriers. And actually to write life policies on your own paper, we would have to stand up another insurance carrier and capitalize it independently. So there were those considerations in addition to the other ones. So we do think that the real differentiation that we can bring in life is not going to be, as I said, in claims. In some of these products, the claims experiences massive differentiation. In some of them, it’s underwriting. But these are very long lead items for underwriting as well. So we think the big differentiation here is going to be user experience. I mean, I think you’ll get a sense of this when we launch the product, you will understand why, and we can achieve all of that without standing up an insurance carrier. So that’s one other thing to bear in mind. Sorry, I interrupted you. It felt like you wanted to come in with something else.
Arvind Ramnani: No, that’s super helpful. Just the last question from me. Just in terms of customer acquisition we’ve seen a nice improvement. Can you maybe talk a little bit about what drove that level of efficiency in customer acquisition?
Tim Bixby: It’s not really a silver bullet answer. We’ve got a bigger smarter team than we had a year ago, and that was also true a year ago versus the prior year. Seasonality factors in pretty significantly. If you look at the amount of growth that we generated in IFP in Q3 versus year-to-date, it’s actually almost identical to what we saw a year ago. Now the ins and outs are very – can be different day-to-day. But again, it’s over the course of the quarter, it came in quite in line with prior quarters. We’re getting a little bit better at each of the little pieces. So if you look at our creative today versus a year ago, it’s better. If you look at the customer fit and the reaction from customers, they’ve always been super strong, but we’re just getting a little bit better every day. And if you add those up over time that has shown in combination to just show – enable us to show steady improvement. There’s a lot of data behind what we’re doing. And so we’re not only getting better at what the customer sees and feels and reads, but we are getting better about what the top of the funnel looks like. How to recognize folks, who are the right folks to bring through the funnel and that just helps with every step of it. Helps with better conversion, better ratios of policies to the top of the funnel, and it tends to feed on itself. There’s probably better word of mouth. There is more people heading to a million customers before too long. There’s a lot of folks who’ve now heard of Lemonade compared to a year ago or compared to two years ago. Now in absolute terms, it’s a tiny number, but relatively that’s probably also becoming a stronger driver of our ability to acquire customers. And then maybe the last thing I would add is, we’ve becoming quite recognized by others. So not just customers, not just – we had a great opinion of ourselves as you would expect. But if you look at whether it’s J.D. Power or whether it's Clearsurance or whether other customer reviews, whether it’s at the app store, really, really consistent improvement over time. Good measures, good metrics, top of the market, and I think it’s really a combination of all of those things.
Arvind Ramnani: Great, that's terrific color. Thanks again for answering the questions.
Daniel Schreiber: Great, thank you. So looks like we’ve answered all the questions. So I think we’ll wrap it up here. Great to have everyone participating. Excellent questions. And we’ll wrap it up here and say, thank you very much and we’ll see you in the quarter.
Operator: Thank you, sir. This concludes today’s conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.